David de la Roz: Good afternoon, everyone, and thank you all for joining us today for our second quarter fiscal year 2026 results presentation for the 3 months ending 30th of September 2025. I'm David de la Roz, the Director of Investor Relations, at eDreams ODIGEO. As always, you can find the resource materials, including the presentation and our results report on the Investor Relations section of our website. I would like to inform you that today's presentation will be a little longer than usual as we discuss our new 4-year strategic plan and our financial outlook for the 4-years period. I will now pass you over to Dana Dunne, our CEO.
Dana Dunne: Thank you, David. Good afternoon, everyone, and thank you for joining us. Today, we're going to discuss 3 things: first, we will do a brief update on our first half year results of FY '26, which are on track; second, we will share our new 4-year strategic plan in which we accelerate significantly Prime member growth and further diversify and strengthen our business; and three, we will discuss the immediate headwind that is hitting us, which is Ryanair that has recently intensified their OTA blocking efforts. On today's call, David will take you through the brief update of the first half of FY '26 results. I will then take you through the key drivers of our new 4-year strategic growth plan. David will follow with the immediate headwind, financial implications and our financial outlook for the new long-term 4-year guidance. I will then share some closing remarks. Now I'll pass it over to David, who will take you through our first half FY '26 results highlights.
David Corrales: Thank you, Dana. If you could all please turn to Slide 5 of the presentation, I will take you through the key highlights of our results. In the first half of the fiscal year, eDO continued to show strong performance. Our Prime members grew 18% reaching 7.7 million with 457,000 added in the first half. Cash EBITDA reached EUR 94 million for the semester, growing 16% year-on-year and growing the last 4 months margin by 7 percentage points in one year. And we remain committed to shareholder returns. In the first half, we invested EUR 32.6 million in share repurchases and year-to-date, we have canceled 5.98 million shares, that's 4.7% of shares outstanding. If you could all please turn to Slide 6 of the presentation, I will take you through the key highlights of our Prime P&L. In the first half of fiscal '26, the Prime model continued to show that it is the engine of our growth, and we saw significant improvements in profitability, driven primarily by the increasing maturity of our Prime member base. Looking at Prime's impact on profitability and the drivers behind that growth, our cash marginal profit, a key measure of profitability, grew by 10%, reaching EUR 144.2 million. This shows that our business is not just growing, but each transaction is becoming more profitable. This improvement is due to the maturity of our Prime member base. As members stay with us longer, their profitability grows, which is evident in the 15% increase in cash marginal profit for Prime and its margin increasing by 6 percentage points over the past year. This is having a positive ripple effect on our entire business as our overall cash EBITDA margin improved by 5 percentage points from 22% in the first half of fiscal '25 to 28% in the first half of fiscal '26. Cash EBITDA for the semester reached EUR 94 million, marking a 16% year-on-year increase. Looking at revenue performance. In the first half of the year, we have observed a few key changes in our revenue margin. While our overall revenue margin increased by 5% compared to the same period last year, our cash revenue margin saw a 6% decrease. The shift is primarily due to a 20% growth in Prime revenue margin, driven by an 18% increase in Prime members. However, this growth was largely offset by a 22% planned reduction in non-Prime revenue margin. Cash revenue margin for the Prime segment grew by 2% versus the first half of the last fiscal year. While member growth was a positive factor, it was offset by a test of monthly subscription fees for a subset of our customers. As we said in our results call of the previous quarter, the increase in Prime deferred revenue was again positive for the second quarter as we decrease the sample size of the test of Prime monthly payments. The 6% decrease in overall cash revenue margin was due to the planned decline in the non-Prime segment. Let me pass it over to Dana, who will take you through key drivers of our new 4-year strategic growth plan.
Dana Dunne: Thank you, David. Please turn to Slide 8 of the presentation. I will take you through the key drivers of our new 4-year strategic growth plan. As you know, we've been running a number of tests of monthly and quarterly payments and the results are very positive. We have identified a number of use cases in which a monthly or quarterly payment of the subscription results in higher lifetime value and therefore, makes more sense than charging an annual fee upfront. We have also identified that monthly payments are enabler for future growth along 2 additional dimensions as it allows us to pursue growth opportunities via offering new products incompatible with a single annual payment and additional growth opportunities in middle-income countries that are more receptive to monthly payments. In summary, this will lead to more top line growth in the next 3 to 5 years, alongside a short-term investment. I will now take you through the areas of growth, sharing the results and the opportunity to create more shareholder value by investing in accelerated growth. Please turn to Slide 9 of the presentation. The first key strategic driver is evolving our payment model. Customers have clearly told us that they generally prefer monthly payments over annual ones. Our survey data, which is based upon 1,740 customers confirm this, 49% prefer monthly payments, while only 25% annual payments and 25% have no preference. We also have seen other subscription businesses move increasingly to monthly as well. For example, over the past several years, Amazon, Adobe, Microsoft 365 have increasingly moved from annual to monthly payments, to name a few companies. As a result of this customer preference, we have been testing monthly and quarterly payments for several years, across 10 Prime markets and 5 products. That means flight, rail, accommodation, price freeze and Prime stand-alone, in order to see how to make this work given the uniqueness of travel and Prime. Please turn to Slide 10. The results from our tests are compelling, showing customers clearly prefer monthly or quarterly payments over annual ones. NPS, the Net Promoter Score, is over 10% higher with monthly payments and conversion from free trial to a paid member is 8% higher based on data from June 2024 to September 2025. This is a clear message. Consumers prefer monthly. Please turn to Slide 11. With the introduction of Prime of monthly and quarterly payments, we unlock new growth opportunities for Prime across product and geographic expansion. For new products, this model is a better fit for rail customers due to lower average basket values of rail bookings and a higher purchase frequency versus flights. Consumers clearly prefer this for lower ticket items. For new product expansion, eDO offers some products in unique ways such as price freeze. These products have high customer satisfaction levels. Now with a smaller monthly or quarterly payment, the value perception is much higher. For new markets, smaller monthly payments are also better suited for growth in new middle-income economies, increasing Prime penetration in these markets. In sum, monthly and quarterly payments facilitate additional growth opportunities. Please turn to Slide 12. Furthermore, the monthly quarterly payment model demonstrates superior results. In positive scope, the aggregate lifetime value is higher by 13% compared to the annual payment option. In summary, we will roll out monthly and quarterly payment models where LTV is positive versus annual payments, which is true in a majority of scopes for new member acquisition. David will speak with you in the financial section about the implications of the onetime unwinding impact of the cash deferred, which has a onetime negative consequence on our cash EBITDA. Please turn to Slide 13. Geographic expansion is our second key growth driver. We will invest in new Prime markets beyond our initial 10 countries to accelerate subscriber growth. We have tested Prime in 14 new markets in the last year, and the results are positive, showing further growth opportunity. The new international markets show promising metrics compared to our European top 5 markets, including higher Prime household penetration year one, NPS and Prime attachment rate. Please turn to Slide 14. Based on these promising results, we will focus on scaling Prime further geographically. Our strategy involves fueling growth in the most promising markets through further traffic acquisition and improving product, price competitiveness and operations in the most promising new markets. Our first phase will focus on growing a set of markets that showed great potential including Mexico, Argentina, the United Arab Emirates, Poland and South Africa. Please turn to Slide 15. Our third driver of growth is product expansion, starting with rail. We are entering the attractive European rail market, which is largely growing at over EUR 40 billion. This will complement our leading flight proposition to drive subscriber growth and increase member engagement. Europe has one of the most dense, high-speed rail networks in the world and it is opening up. Already, the rail market has taken a huge share from the short distance flight market, which provides good upside for us. For example, the Paris Bordeaux route, the rails market share is now 90%. That's 9-0% and Madrid to Barcelona is now 72% rail. Europe is further liberalizing its rail market with a number of new rail providers entering across countries. All of this provides exciting growth opportunities. Please turn to Slide 16. Prime gives us a unique competitive advantage to succeed in this market over rail-focused transactional competitors. Prime generates 4x more revenue margin compared to other transactional rail OTAs. This, in turn, gives us more revenue to play with to win versus transactional businesses. In over 95% of cases, Prime is cheaper prices than rail operators or rail OTAs. Moreover, we see higher conversion rates compared to flights and higher Prime renewal rates as the number of products increases. To Prime, our leading technological platform, coupled with our advanced AI capabilities, our skills in acquisition and marketing and our leading European OTA brand makes eDO a natural winner in this market. Please turn to Slide 17. I want to dedicate a word to hotels since we have said this is also a priority. Since the Capital Markets Day, we have made significant progress in our hotel business proposition and further invested in hotels for growth. The global online hotel market is at EUR 293 billion and has an OTA penetration of 62%. We're already seeing promising results. Our unique visits to hotels are up 42%. Our LTV of Prime hotel repeat customers has increased by 33% and Prime hotel per flight booking is up 33% year-on-year. In summary, in hotels, Prime is a unique offering with superior price proposition, excellent customer experience, wide inventory selection and growing flexibility. With over 7.7 million Prime members, Prime for hotels gives us increased retention of Prime customers as we move from being a flight-centric proposition and company to an overall travel-centric one and one that is unique in its subscription offering. Please turn to Slide 18. Finally, as most of you know, we are one of the leaders in Europe in AI. With this new plan, we are leveraging our AI leadership to support this accelerated growth. We have already achieved massive scale adoption of Generative AI with a run rate of well over 400 billion tokens per year. Tokens are a number of words or data chunks being processed by all of our Generative AI use cases, and this is a key enabler and a key benchmark for how sophisticated our company is in Generative AI. This level of AI consumption places us clearly amongst the leaders of AI across the global e-commerce industry. If you could please turn to the next slide, I would like to share with you some of the most current use cases across the organization. In customer service, our generative and agentic AI solutions are revolutionizing how we serve customers, enabling end-to-end agentic automation of even complex tasks such as canceling and booking. In IT, we've seen a step change in productivity on the back of our leadership in AI adoption, with more than 30% of our code now being AI generated. And across the business, we are seeing how even complex processes can be automated through AI. For example, AI is now automating the management of our in-house dynamic pricing engine, which previously required scarce data science expertise. Now let me pass it back to David, who will take you through our immediate headwind, the financial implications of the plan and our financial outlook for the next new long-term 4-year guidance.
David Corrales: Thank you, Dana. Now let's address the immediate headwind hitting our business. If you could please on to Slide 21. Ryanair has recently identified their OTA blocking efforts, which is increasing instability in Ryanair content coverage. Since mid-September 2025, our average daily bookings for Ryanair have been reduced by over 80%. It is important to stress that this has impacted our new customer acquisition, but not the churn of our existing Prime customers. Customers who booked our Ryanair flight demonstrate a similar renewal rate to the average of the company as they find alternative lines and maintain a similar Net Promoter Score. If you could please turn to Slide 23. Given the investment for accelerated growth and the impact of the headwind, we're issuing a new long-term financial guidance. In Prime members, despite the headwind, we are accelerating growth. We will deliver 40% more Prime subscribers than the market consensus by increase by year 3. In the second half of fiscal '26, we will be affected by the recent stability in Ryanair content, and we will grow our Prime member base in the whole fiscal year by 600,000 members. In fiscal '27 as we anniversarize the impact of the Ryanair instability, we would also grow our Prime member base by another 600,000 members. From fiscal '28 onwards, when our new investments start to pay off, we will grow our Prime member base at 15% to 20% per annum to reach more than 13 million members by fiscal '30, dramatically more than the analyst consensus of only 4% per annum and more importantly, achieving record levels in annual net adds by adding in the range of 1.5 million to 2 million new Prime members per year between fiscal '28 and fiscal '30. Regarding the ARPU of Prime, average revenue per user, due to the introduction of monthly and quarterly payment installments, our ARPU will temporarily reduce in fiscal '26 and fiscal '27 to the low mid- EUR 60s and is projected to recover to approximately EUR 70 by fiscal year '30. In terms of the Prime deferred revenue, it will reduce to an amount of negative EUR 18 million in the aggregate of fiscal '26 and a negative EUR 6 million in the aggregate of fiscal '27 and then contribute over EUR 30 million positive per year from fiscal '28 to fiscal '30. If you could please turn to Slide 24. We will have a period of investment during the second half of fiscal '26 and the first 3 quarters in fiscal '27, and we will start showing growth from the fourth fiscal quarter of fiscal '27 in cash EBITDA. Cash EBITDA will come down to an estimated EUR 155 million in fiscal '26 and EUR 115 million in fiscal '27. We expect the investment period to be 5 quarters, so cash EBITDA will start growing year-on-year by the fourth quarter of fiscal '27. You can see the largest investment is the timing impact of the move to monthly and quarterly payments, with the onetime change in deferred revenues, which happens over the next 12 months and its impact on cash EBITDA. From fiscal '27 to fiscal '30, we expect cash EBITDA to grow by more than 33% per annum, reaching over EUR 270 million by fiscal year '30. Now let me pass it over to Dana, who will do some closing remarks.
Dana Dunne: Thank you, David. Let me start by saying that I've been in this business for 13 years, and I've never been more excited about the future of eDO. We're going to grow this business more rapidly and further diversify and strengthen the business and its attractiveness to customers. With the move to monthly, we will go to new product categories, such as rail and other lower value ones as well. We will go to more geographies, some of which are lower income ones than in Western Europe, and we will continue to lead in our investments in skills in AI, which creates lots of value for customers of eDO. Let me be clear, separate from this, we have a headwind, which we have boxed by minimizing its financial impact in our new guidance while we build an even stronger and more diversified business. Now please turn to Slide 26. I'll follow by saying we've done this before. We have transformed the business dramatically in the past and at the same time, delivered on our long-term guidance. For instance, in our last 3.5-year plan, we set very ambitious plans, and we delivered. One, we grew our Prime numbers from less than 2 million in 2021 to 7.25 million in 2025. We improved our cash EBITDA from EUR 3 million to EUR 180 million. We deleveraged the company from 8.6x to 1.7x. We transformed our business from transaction to subscription business with now 74% of revenues and 88% of cash marginal profit from subscribers, whereas it used to be 38% and 50%, respectively, and we created a stronger consumer business. In sum, we have a team that delivers. Please turn to Slide 27. In closing, despite the negative headwind, we are building a much better, much stronger business. We will deliver higher growth. We will deliver 40% more Prime members than market consensus by FY '30. We will deliver a higher customer LTV. The new payment model results in a 13% higher lifetime value for Prime. We will deliver stronger customer loyalty. The new payment model delivers over 10% increase in NPS scores and increased customer stickiness. We will deliver more diversified business. 66% of eDO's volume will be driven by nonflight products and flight outside of the top 5 European markets in FY '30. This transforms us from a fundamentally European flights business to a global travel business. And we will continue with our share buyback. We have committed EUR 100 million for the next 2 years to continue our share buyback program. Over the years, we have demonstrated resilience, transformation and an unwavering commitment to delivering shareholder value. Today, we are strengthening our foundations, not just for the next quarter but the next decade, transforming from a mainly European flights to a global travel business, trust in our track record and our vision, securing a sustainable and highly rewarding future for all of us. Now let me pass it back to David.
David Corrales: Thank you, Dana. With that, we would now like to take your questions on the webcast. [Operator Instructions] Now let me go to the first set of questions that comes from Francisco Ruiz, the analyst of BNP Paribas. The first one is, can you put an example on monthly payments similar to what you did with the EUR 55 annual payment? If I book a flight to New York from Madrid, and previously, I get a discount of EUR 30, will I get this discount as well under the monthly one?
Dana Dunne: Good question. Absolutely. And the answer is yes. It is exactly the same value proposition to the customer. The only thing that is changing is that in yearly, you collect the subscription fees in one time, that's the past. And at the beginning of the program, while on a monthly model and the same for quarterly, we collect the monthly subscription fees with a lower price than the yearly one, of course, every month during the course of that year. But in terms of the benefits now, not just in a sense, the cost to the customer, the benefits to the customer stay exactly the same. And in fact, if I just highlight, this opens up a lot of new customer segments that we can go into by doing this. And by doing that, we're going to enter into rail. And so all of our existing customers will get rail within their subscription fee as well. So it's a win-win.
David Corrales: The second question that comes from Francisco Ruiz as well is, what is your opinion on the Google AI tool Canvas in your business? If this is not a threat, could you help us to understand why?
Dana Dunne: Absolutely. So first of all, as all of you know, we're one of the leading AI companies across any industry within Europe. Many of you also know that we have a small business in the U.S., and there are far larger travel companies in the U.S. than us. Google's announced these partnerships with the largest travel companies in the U.S., and we look forward to participating in these opportunities from a European point of view. As you can see in the new plan, we're also investing in AI to keep this leadership, and we view AI search results as a potential new channel or variation of existing channels through which we can acquire customers. In fact, if you look at the new announcement of the new model being out, Google stated explicitly that they're not becoming a transactional company, by passing off the customer to its partners. So we absolutely welcome this and welcome it from a European point of view.
David Corrales: Okay. The next set of questions come from Carlos Trevino from Santander. The first question is, could you elaborate on the nature of the investments in the second half of fiscal '26 and fiscal '27? Could you provide the breakdown between fixed costs and variable costs? Well, let me take that one. And let me actually start from the second half of it, which is the one about the fixed cost or variable costs. I can tell you the fixed cost, and you can actually go to the variable by difference, right? The amount of fixed costs that you should expect towards the end of the forecast period. So by fiscal year '30 is about EUR 140 million starting from the level that you have seen today, which we're doing now approximately EUR 25 million, EUR 26 million per quarter in the first 2 quarters of this year. We're going to increase somewhat the number of members. There's a lot of new developments to actually pursue in the business and going into all of those new verticals, going into new countries, going into new products like rail, going into small ticket items. So if we -- like we've said other times, if we enlarge the size of the factory, we believe that, that, coupled with the enhanced productivity that we are seeing from AI, like we have shown you earlier today, more than 30% of our code is right now AI generated already. We feel that we can deliver at speed in the number of new things that need to be produced. Now about the other size of the nature of the investments, that is some of the investment that is also on the variable cost nature. When you go into, again, new verticals, you don't have the advantage of an established customer base that -- which results in higher CAC than otherwise, right? At the end of the day, the cost of acquisition in one of our established countries is the blended mix of how many people come to you direct and those are either former transactional customers of you in the past or friends and family referrals of the existing Prime members. So when you go to a new country in which you don't have a meaningfully established base and you go -- or you go into a new vertical in which you're acquiring customers, the CAC is some higher. And then over time, it will decrease to more normal levels of CAC that you see in our more established business, in the more established verticals. That's the nature of the investments really. But because you asked about those -- and with the labeling that we have done in the slide which we run you through the cash EBITDA, let's just remind everyone that the biggest impact by far is the onetime timing difference of collecting monthly from a large portion of our customers from collecting yearly. The next question from Carlos as well is, will there be any kind of commitment to those subscribers choosing monthly quarterly payments? Yes, let me take that one as well. The monthly subscription program that we have is one-off installments of 12 months. So when the customers join the monthly program, they actually join a yearly program with monthly payments, but they have a commitment to continue to pay for the 12 months. And last question from Carlos Trevino is apart from the Ryanair no impact, have you seen an increase in your churn rate over the last months?
Dana Dunne: The simple answer is no. If I compare from the Capital Markets Day to today, churn rates are stable. Moreover, I just want to make the point again because it's a really important one for all investors is that if we look at customers that had a prediction towards Ryanair who have joined our program, we do not see a change in the churn rate of them at all over the past year, over the past 2 years, et cetera. And what in fact happens is many of these customers simply take another airline.
David Corrales: The next set of questions comes from Andrew Ross, who is analyst at Barclays. He says, what percentage of Prime subscribers on annual versus monthly subscriptions in fiscal '26 and fiscal year '30 in your assumptions, will you shift everyone to monthly? I want to refer you again to Slide 12 of the presentation, where we have a chart that talks exclusively about that. That is a very important question indeed. We will go with monthly on the new markets, and we will go with monthly on the new products at 100%. So rail will be monthly from the beginning, and we will not have customers that joined via rail being annual payments. And then in the existing market, existing products, it's approximately 50% that will be on monthly versus annual. And that is a very large part of our customer base, of course. The next question says, will it be possible to cancel a subscription midway through the year and pay only, say, a few months? Is that not a risk given relatively low annual frequency on the flight side and amongst Prime subscribers in general?
Dana Dunne: So we've tested a number of models over the past number of years. And the model that works really well that you see the results there that you see the MPS increase, that you see the LTV, et cetera, is a monthly program with an annual commitment to it. So therefore, no, there isn't a risk and everything is baked in within our numbers based upon the long duration that we've been running this program and the test.
David Corrales: The next question from Andrew is what percentage of gross bookings from nonflights within the top 5 Euro countries by fiscal year '30? Well, that's -- We don't tend to break down the gross bookings even in the actual data. So therefore, there's no point breaking it down for the forecast data, but you can take as a proxy that the majority of the nonflights, i.e. particularly in the part of new products, goes into monthly. So at least the subscription fee -- the subscription fee, again, will be on a monthly basis, but the gross bookings themselves come with every transaction. So they go along the year depending on the transaction. The next question says, what does this mean for shareholder returns in the next couple of years, given leverage will step up? Well, gross leverage is going to stay the same. Net leverage is going to go up from the level of about 1.8 that we have just published today to something in the surrounding of just under 3 or around 3, more or less. I think this -- we start this, let's say, a new cycle of growth from a very solid financial position with the lowest leverage that we have ever had. That's one of the things that help us to maintain a very solid, I would say, path of return of cash to shareholders with a commitment from us that it will be EUR 100 million in the next 2 years. The next question says, will you sign a strategic partnership with Ryanair, given the impact on bookings recently? And why haven't you done this?
Dana Dunne: Absolutely. So let me explain how our situation is different. And then also, let me explain to you what our criteria is for deal with any partner. First one is what our situation is. As many of you know, we're absolutely leading in technology. And so therefore, we have had access to Ryanair, albeit limited. And today, we still have access to Ryanair, but it is dramatically less than what we had before. And we've been very open and transparent with you, but it's not 0, whereas most of the other competitors of us have had 0 because they don't have the platform, they don't have the technology that we have. And so if you have 0, then signing a deal gives you more than 0. So that's an upside. For us though, that's one starting point that's slightly different. The second one is also in terms of Prime. We are not a transaction-based business unlike the other players out in the marketplace. We are the only subscription one. And that model drives us to certain different behaviors, different decision-making than others. We are very focused not just on getting the business, but then making sure that the customer has a whole good trip that they do another trip, another trip, another trip, and when day 365 comes up, that they renew with us. And that is fundamental about our model and our business. It's unlike a non-subscription-based business. So therefore, we're very, very focused on the end-to-end customer experience on it. So that is our 2 fundamental things that are different when we evaluate deals versus someone else in it. Now come to our criteria. Our criteria is threefold. The first one is obviously, shareholder value, right? What are our options and which one creates the most amount of shareholder value versus the next option, right? And so we simply dispassionately compare that with. The second criteria is around the customer experience, and I think I explained to you a little bit more about why that is so important to us. And the third one is about compliance in terms of regulation, laws, rules, et cetera, from Europe. And so we make dispassionately that situation. And any deal, not just this one, but with any partner, that is how we'll make them in the best interest of those 3 criteria.
David Corrales: The next question from Andrew is, which markets are the focus for rail in particular?
Dana Dunne: Absolutely. So look, we're focusing first on Continental Europe. And within Continental Europe, the markets that are really opening up the soonest, which is Spain, Italy and France. And by the way, they're at later stages, and we can go to other ones as well.
David Corrales: The next seems to be the last question from Andrew. Says, Expedia and Skyscanner have tried out trains in Europe in the past with limited success, whereas a single product focus from Trainline seems to be working. What are your thoughts on this?
Dana Dunne: So let me take it, David. So first of all, the obvious thing is, I can't speak for Expedia and Skyscanner. Really important to point out, Skyscanner is a Meta, which is an absolutely entire different business model, not just from us, but from other OTAs. Now Expedia as an OTA is a different business than ours, and I'm not -- was not privy to their results, so I can't comment on. What I can comment on, we are unique. We have Prime. We have a technology leadership. We have a really strong transport brand, and we have been running this for a while and are basing our plan on our actual results. This is not about ideas, but on actual results that we have been doing well in.
David Corrales: The next set of questions come from Bharath Nagaraj, the analyst from Cantor Fitzgerald. The first one says, when you say you're planning to enter the railway market, is that by building partnerships with rail travel supplies directly? Or what is the plan? And similarly, with regards to hotels, remind us again as to how you're growing supply of hotels? Is that via direct relationships?
Dana Dunne: Yes, absolutely. So great questions. So the first one, if I take the rail market, absolutely, we are signing partnerships with a number of rail providers on that, and we're going market by market. We also have our platform as well that allows us to get rail content from other parties from third-party providers as well that would have that content. In terms of -- for hotels, we have simply a multi -- with hotels, sorry, you're talking about we have almost 2 million hotels on our platform. The hotels market is fundamentally different in terms of, let's say, content and the amount or the number of, let's say, content sources that you need to in order to have a robust business. Now within that, we've built a platform that is a multi-provider platform. So we get some by going direct to hotels, but then we get a lot from let's say, third parties, and we have relationships with a number of really key third parties that allows us to get it. And then we've built on top of this a layer that allows us to deduplicate because we'll have -- meaning having so many different providers, we're getting duplicity of content. So we need to do duplicate it, and we need to figure out which is the best one in order to offer and close that hotel booking for.
David Corrales: The next question is what was the churn when it came to monthly payments? It would have picked up as well, right, versus annual payments? Let me take this one. We are rolling out -- I'm going back again to the Page 12 and the Page 11 before that. We are rolling out the monthly instead of annual in those places where the LTV is positive versus yearly, which means that when we do it, the balance between new members that you get or extra members that you get and the churn evolution is positive overall. The next question says, what's the results of the monthly payment model for just air, not including rail? They're both positive. They are positive for rail and they're positive for flights. In rail, it is a precondition, right, like we have said. Rail is part of those type of, let's say, products in which you have lower average basket value and you have more frequency of consumption. And it ties a lot better with monthly installment cadence. And on the case of air is, of course, the vast majority of the sample because that's the one that we were able to test more extensively over a period 2 years. The next question says, given Ryanair was always against OTAs, what have they done exactly since mid-September? Remind us again how much of your group was still Ryanair driven prior to mid-September? The relationship with Ryanair from a technological point of view has been for a number of years, if you will, kind of like a cat and mouse game. They try for us not to access the content, and we go around the hurdles that they put. What they have taken are increased anti-scraping measures that preclude us from giving a good customer experience to our numbers. And that has increased from September. The possibility that we go around those hurdles is a good possibility like in the past, but we have decided for this forecast to box it in. So that this forecast that we have shared with you today are not dependent on us going over the hurdles like we have done in the past. The next question is from Nizla Naizer, the analyst from Deutsche Bank. Can the economics of Prime still work if the subscription is shorter? Yes, yes, absolutely. And that is demonstrated by the data that we have shown today that the LTV is 30% higher in the use cases in which it is higher, of course. In the ones in which it is lower, is those cases where we're not rolling out monthly, and we're keeping only the annual payment option. And then the -- well, the next one is actually a repeat from the previous. And the following one is -- I think that one is repeated as well. Let me just go up here. We have questions from Chadd Garcia from Schwartz Investment Counsel. He says most of the decline in cash EBITDA estimates in '26 look to be coming from a decrease in deferred revenue, given the new nonannual Prime programs. Just looking at EBITDA, taking the working capital performance of cash EBITDA out of it, what does the change in EBITDA estimate look like, if any? I think the easiest way to do that is to look at the adjusted EBITDA as opposed to the cash EBITDA. Now you can put together 2 data points that we provided today. The first one would be the expectation of cash EBITDA by the end of fiscal '26 of EUR 155 million. And the second one is that in the aggregate of the year, we expect to have negative EUR 18 million in the change in deferred revenue. If you put the 2 together, you get to an adjusted EBITDA of EUR 173 million. EUR 173 million is almost a 30% increase in adjusted EBITDA versus the adjusted EBITDA that we reported of about EUR 134 million in fiscal '25. And that evolution is net of all of these timing effects, onetime of the change to monthly for a good portion of our members. The next question comes from Adam Patinkin from David Capital. What efforts are being made to reconcile with Ryanair? And what will the financial impact be if the issues with Ryanair can be resolved? Let me take the second part, which is more of a financial question, and then Dana can go on the first, although, there's not a lot to say because we've talked enough, I think, about the 3 elements of -- that would potentially underpin a deal with Ryanair. On the financial, it will, of course, be a positive, right? And we just don't want to venture how much positive because there is a range of options, right? You could go back to the levels that we had just before September. You could go to more, and we prefer to talk about our forecast, absolutely boxing in Ryanair so that it's not an impact. If there is an impact, it will be positive versus what we're showing today. The next question comes from Paul Simenauer from BNP Paribas. Are there other players that may seek to do what Ryanair tried to do that create further downside risk to EBITDA guidance?
Dana Dunne: Let me take that one. So first of all, Ryanair has been consistent about this, that they have been going after this for minimum of 15, it's actually been over 15, more like probably 20 years consistently. So in that time, you've been able to see everybody, been able to see the market, and that approach to it. In fact, what they're doing is really counter to the basic fundamentals of fixed asset owners. When you look at fixed asset owners and what they do, not just in travel, right, like other airlines or other hoteliers, but look at theme parks, look outside of even the kind of travel, entertainment, leisure industry. There's lots of other fixed asset industries. And what you're fundamentally doing is running an auction. And you want to bring as many people as possible to the auction, particularly when you have a perishable asset like a seat an airplane that's expiring at a certain date. You want to bring as many people as possible. It's not just to sell that seat, it's not just to fill that kind of theme park, it would be actually to be able to yield manage and push it up and up. And the more people you bring to the auction, the more likely you are to be able to close out at a higher and higher price. This is exactly what other fixed asset businesses owners do. This is exactly what you see, for example, Disney, with its theme parks, you see even a semi-fixed asset owner, Apple does this by using so many other types of companies as well on this freight. When you look at also just us we -- not just as a, let's say, a potential point to bring people to an auction. There is uniqueness in us. And there's uniqueness in primarily because we have Prime. And if you look at our customer base, if you look at our disclosure that we've shared before, is that only 5% of our Prime customers actually go to an airline website. That's 5% go to an airline website. So 95% don't. And that is what we bring to the auction. That's where we bring to an airline. That's what we bring to other fixed asset partners. Now if you look at as another fact is that airlines have participated in our Prime Days, have seen 173% growth in their bookings versus airlines that don't participate in our Prime Days. So again, it just shows the amount of kind of value that we can bring and the collaboration that we do bring to other fixed asset providers.
David Corrales: The next question that we have comes from Guilherme Sampaio, the analyst at CaixaBank. Could you comment on how do you expect the different parts of the LTV on a single customer basis to change with the movement to monthly payments? In most subscription models, there is a churn spike around the payment date. Do you see that in your numbers? Well, actually, we define churn as when people don't take. So yes, it comes around more precisely on the payment date is when we know if we have a churn number or not because up until that payment date, they can use the service, however many times they want. Now on the parts of the LTV, it's a little bit of what we said earlier to a different question. You have an increase in conversion that we have shown a particular slide in which from visit to number of Prime members that finally joined, there's an 8% increase. On the other hand, there are certainly different behaviors around the churn, but net-net of the 2 things, which are the 2 most important things, you have a 13% increase in LTV for those use cases, again, in which the LTV is positive, and we're only rolling out monthly or quarterly payment installments in those use cases in which the LTV is positive. That is the last question that we have now in the webcast. So with that, I'm going to thank everyone for joining the webcast today. Dana wants to share a closing remarks.
Dana Dunne: Yes. Absolutely. So look, I know that some of you are long or short-term oriented shareholders. Investors with a short-term horizon would, I acknowledge, would prefer that we postpone doing these investments. But let me be clear, as a shareholder, I'm telling you that it is not in the best interest of the long-term growth of the company and of overall shareholders. For the analysts that cover us, we look forward to working with you and helping you understand in more detail the implications for your models. Lastly, again, as a significant shareholder, I can say this is absolutely the right thing to do. it makes our company far more diversified. And it turns us into a global travel company as opposed to a European flights business, which, in turn, makes us more valuable and attractive to different types of stakeholders. It gives us stickier customers, which, in turn, makes us more valuable. It gives us much greater growth profile in the coming year for investors, and that's 40% higher than the analyst consensus, which again is very valuable, and we will execute this plan while we buy back EUR 100 million of our stock over the next 2 years. With that, let me pass it back to David.
David Corrales: Thank you, Dana. I echo your words. I'm a significant shareholder as well, a significant and proud shareholder. Before we conclude the call, I would like to inform you that on Thursday, the 26th of February, we will be hosting our conference call for the 9 months result presentation. And in the meantime, we will be happy to receive your questions via the Investor Relations team or the investor email address, which is investors@edreamsodigeo.com. Have a nice evening. Thank you very much for joining.